Operator: Good morning and welcome to the First Interstate BancSystem Fourth Quarter 2014 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Marcy Mutch. Please go ahead.
Marcy Mutch: Thanks Amy. Good morning. Thank you for joining us for our fourth quarter earnings conference call. As we begin, I'd like to direct all listeners to the cautionary note regarding forward-looking statements and factors that could affect future results in our most recently filed form 10-K. Relevant factors that would cause actual results to differ materially from any forward-looking statements are listed in the earnings release and in our SEC filings. The Company does not intend to correct or update any of the forward-looking statements made today. Joining us from management this morning are Ed Garding, our Chief Executive Officer; and Kevin Riley, our Chief Financial Officer, along with other members of our management team. At this time, I'll turn the call over to Ed Garding. Ed?
Ed Garding: Thanks, Marcy. Good morning and thanks again to all of you for joining us. I want to start by saying we had a good solid year. Yesterday, we reported fourth quarter earnings of $22.8 million or $0.49 per share included in our net income this quarter, were acquisition of approximately $2.4 million which had a $0.04 impact to our earnings per share. The integration of Mountain West Bank and realization of our planned [ph] cost savings has gone well. Total acquisition cost related to the deal were approximately $4 million well below our anticipated cost. Of the 18 branch and bank-owned properties we acquired, all but three properties have been sold or are pending sale. And since the acquisition, we've achieved the staffing reduction levels, we anticipated. Moving to loan growth, in total we had organic loan growth of approximately 1% for the quarter and 4.4% for the year. The growth in most of our major loan categories. For the quarter, organic growth and real estate loans increased $55 million or 1.7%. The fluctuation between commercial real estate and construction real estate was mainly due to reclassification of loans acquired from Mountain West Bank. Residential loans were up 4.5% and Ag real estate loans were up 5.5% quarter-over-quarter. We continue to see growth in consumer loans, which were up 2.3% from last quarter with the indirect portfolio once again accounting for most of this growth. As anticipated Ag operating loans were down quarter-over-quarter by 8.6% as lines were paid down. The good news is that year-over-year these loans were up by over 11%. Moving to credit quality, we all thought Bob Cerkovnik, our Chief Credit Officer was a little optimistic at the beginning of 2014, when he indicated our non-performing asset to total asset ratio would be 1% by the end of the year. Well now we have to applaud Bob and all of our credit people because we decreased non-performing assets to total assets by 17 basis points this quarter, down to 91 basis points as of December 31. With net charge offs at virtually nothing for the quarter. This was a significant improvement. Breaking down the decrease in non-performing assets, non-accrual loans were down $9.7 million mainly due to the pay off one large credit. Our other real estate-owned had a net decline of $5 million which is very positive considering real estate sales generally slowdown in the fourth quarter. Total credit sized loans remain stable for the quarter and are about 7% of total loans. While we would like to see this number continue to decline, it is within an acceptable range. Despite declining oil prices and the layoffs, we hear are happening in Bakken, we are continuing to enjoy a strong economy our footprint. Unemployment rates are still low and we haven't seen a noticeable impact from North Dakota. In order to get a little better understanding about the impact declining oil prices might have on Montana and Wyoming. We hosted a discussion with some of our local oil and gas developers and service providers. I would like to share some of the feedback they provided. First off, they were all quick to point out that this cycle should not to be compared to the 1980s. The 80s boom was driven by more speculative exploration, while this is been more of an expansion cycle. Better technology has allowed a much higher success rate on drilled wells close to 90%. Right now the Bakken produces about one ninth of the U.S. oil production and there are now over 11,000 producing wells in North Dakota. These wells will require an ongoing support network of about 2.2% per producing well. At the peak, they were over 180 rigs drilling in the Bakken. We all know this number has declined and yesterday there was 161 rigs drilling in the Bakken. So there definitely is a slowdown. In general, the feeling was that a temporary decline in oil prices with temporary meaning 12 months or less would actually cause a positive reset. They indicated there would be some short-term pain as companies scale back on staffing, but this reduction would also translate into lower servicing cost allowing producers to be more efficient. The general consensus was that they had been paying about 30% premium on services over in the Bakken during the last few years. Additionally to the extent there are small service companies that have weaker positioning now, there will be merger and acquisition opportunities for mid-sized companies. On positive note, they indicated Power River Basin in Wyoming has the potential to be very competitive with the Bakken in terms of volume, with oil extraction cost being a little more economical for producers. This is good news for the long-term. They provided a lot of inside into global demand for oil and that based on this demand oil prices cannot stay low indefinitely. However, no one wanted to place a stake in the ground that this decline was sure to be short-term and indicated that we'd need to revisit this discussion, if oil prices were still low 12 months from now. In general, they'd like to see oil prices at around $70 to $75 a barrel. We did talk specifically about the reduction in workforce and what that might do to our unemployment numbers. They pointed out that the Bakken workforce has come from all over the nation not just from the surrounding states. So that this staffing reduction will not hit just our region. So the question is, how this might all impact the bank. First we feel like, we can see some influx of workers back into Montana, but we don't anticipate this to be a dramatic inflow or an impact to our economy at this time. Second, lower prices at the pump should translate into good news for our tourism and Ag industries. And lastly, as we've said before we don't have significant exposure in our loan portfolio to oil and gas production. At the end of December, we had roughly $73 million in loans directly to producers with an additional $37 million committed. Our indirect portfolio has about $16 million of loans into the Bakken. There have been no early warning signs of potential changes to the delinquency rate on these loans. Should oil prices remain low for a longer term, we could see some additional impact, but we are closely monitoring our loan portfolios in the market that could be most heavily influenced by the Bakken activity. So with that, I'd like to turn this over to Kevin for a little more detail behind the numbers. Go ahead, Kevin.
Kevin Riley: Thanks, Ed and good morning, everyone. We are pleased with our strong fourth quarter results. We reported earnings of $0.53 per share absent [ph] acquisition cost. GAAP earnings per quarter were $0.49 per share. Acquisition expenses reported in the quarter were $2.4 million and this should be the end of the cost related to the acquisition of Mountain West. Excluding acquisition expense, our pre-tax pre-provision income increased $3.2 million over the prior quarter or 9.3%. Let's start with the balance sheet. For the quarter as Ed mentioned loans group were about 1% organically or $43 million. Year-over-year organic loan growth was 4.4% or 12.7% including the Mountain West acquisition. This quarter, our investments increased to $117 million or 5% over the prior quarter to $2.3 billion and currently represents 27% of our assets. The duration of the portfolio decline slightly this quarter to 2.98 years down from 3.1 years last quarter. We continue stay steady with our strategy to keep the duration short in our investment portfolio. In order to enhance our assets sensitivity. If and when rates rise, we'll be in a good position. Our organic growth and deposit this quarter, was also at about 1% or $47 million. Year-over-year our organic growth was 5.8%. Our mix of deposits continue to shift away from higher cost deposits into non-interest bearing deposits which grew 9% this quarter. Now to the income statement. Despite increase in our net interest income of $456,000 our net interest margin decreased 17 basis points for the quarter up to 3.38%. Excludes over the impact, of purchase loan discounts related to early payoffs of acquired loans and the recovery charged off interest quarter-over-quarter. The margin decline 14 basis points. Frankly average deposits for the quarter increase at such a rapid pace that we end up carrying large balances in overnight funds for the quarter, earning us only 27 basis points. This causes about 10 basis points in our net interest margin calculation this quarter. The additional four basis point decline was due to lower yields in our outstanding loans. Going forward our cash balances have already return to more normalized level and we don't anticipate our loan yields to continue to decline at this pace. So we believe the margin should move back up as excess [ph] liquidity leave the bank or is put into higher yielding assets. With a continued improvement in credit quality, we saw this quarter. We had a modest provision of $118,000. A provision pretty much covered our net charge-offs for the quarter of $149,000. Our fourth quarter non-interest income was 32% of total revenue. There was some noise in our non-interest income this quarter. Our seasonal decline in mortgage revenue was offset by gains in the sale of bank buildings, death benefit proceeds and a car payment network bonus. Origination and sale mortgage loans declined by 24% last quarter. We started a quarter out strong, but things quickly tapered off. Going forward, we still see this as an area of growth. Our wealth management revenue and our card business continues to be in area of strength. I will talk more about our issues in regards to non-interest income in just a few minutes. Our core non-interest expense held steady over the third quarter and we summed up changes fairly well in our earnings release. Seasonal increases in normal operating cost were offset by decreases in incentive accruals and group healthcare cost. I'd like to take a moment to talk about our strategies for 2015. First in regards to interest income. We expect to see a steady year-over-year loan growth in the mid-single-digit range. We intend to be disciplined in our pricing and so we expect to see corresponding increases in net interest income. For the large influx of deposits over the last half of 2014. Our deposit growth goals are in a low-single digits anticipating that we might experience some level of run-off during the first quarter. With our continued asset quality improvement, we expect our provision to approximate net charge-offs next year. We've set strategies to increase non-interest income revenue. These initiatives are based on increasing mortgage production, increasing a number of products per customers and generating additional business credit card usage. We also have some opportunities around what I call leakage [ph]. We are evaluating how we are collecting the fees due to us from our customers and whether could be some potential to collect more fees. We know, we have given up some fee revenue and we are focused on plugging those holes. Let me give you an example. We automatically opted out, our customers under Regulation E. Consequently, only 2% of them have opted in and allow us to take their bank accounts to a negative balance when using their debit card. We'll become more proactive in informing our customers to the benefit of opting in on Regulation E and so we can increase that 2% customer base to a higher level. In terms of non-interest expense the majority of cost saves from Mountain West have been realized. So we anticipate our non-interest expense to be about $60 million a quarter for 2015. Our goals around this issue [ph] will include to continue rationalization of our facilities and our staffing levels. Savings in these areas will allow us to invest in new technology that will benefit our customers. Lastly, I'd like to wrap up talk about capital. Capital remained strong and we will continually actively manage capital in effort to reach our 12% return on equity goal by the end of 2016. Our [indiscernible] priorities remained unchanged being first organic growth, second strategic acquisitions, third repurchase of stock and lastly dividends back to our shareholders. Along those lines, the board has just approved the new share repurchase program that authorize us to repurchase up to 1 million shares. So we will take advantage of that opportunity as the market allows. We also just announced the 25% increase in our dividends $0.20 per share and we know our shareholders would like that. We are optimistic about loan growth this year and as always, we are in hunt for a good bank acquisition. So those initiatives and strategies in place, our job this year is to execute on them. With that, I'd like to turn the call back over to Ed.
Ed Garding: Thanks Kevin. As Kevin indicated we are focusing on growing the bank. Part of that involves looking at how we approach the $10 billion mark. We've already started to plan for this and have acquired systems that will help us with our D-Frank stress testing and other compliance issues. We also recently hired a new Head of our Compliance Department to replace our long time compliance officer, who is retiring. Our new hire comes to us from Bank of America and prior to that from J.P. Morgan and so she comes with some big bank experience which will help us through then transition of going over $10 billion. We are excited about 2015 and all that might bring. So with that, we will open up for questions.
Operator: [Operator Instructions] Our first question comes from Matthew Clark at Sterne Agee.
Matthew Clark: Good morning, Kevin.
Kevin Riley: Good morning.
Matthew Clark: Maybe first on loan yields, can you just talk about what rates you're getting on new originations in the quarter? I think previously your yields have held up very, very well and I'm just curious as to what those new rates are what's changed I guess, here.
Ed Garding: I might refer that one to Bob Cerkovnik, our Chief Credit Officer.
Bob Cerkovnik: This is Bob and Matthew thank you for your question. We for the fourth quarter, we're showing about a weighted average rate of about 4.75%.
Matthew Clark: Okay.
Bob Cerkovnik: On the whole portfolio.
Matthew Clark: Okay and I guess as you look out, you talked about the, I assume part of that, from the curve and you know what the curve has more recently, but just can you talk to why you think, I guess loan yields might hold up as we look out throughout this year.
Bob Cerkovnik: I think as the statement about how they hold up through the year, is really based upon that we are going to continue to be very cautious in how we are pricing our loans and that we're not going, we're not going to be the lowest cost provider in the market and we will continue to because we add value to our customers over the long-term and we think, we can combine higher prices across their footprint.
Matthew Clark: Okay, so I guess maybe I should rephrase that, it sounded like you guys were talking about the rate of change would be a lot less going forward, but maybe the trend is still lower.
Bob Cerkovnik: No.
Matthew Clark: In terms of the portfolio yield.
Bob Cerkovnik: Yes, we think it will stable out and again, it's just as how we're trying to do business and the fact that, we're going to be disciplined in our loan pricing going forward.
Matthew Clark: Okay and then back to their direct exposure to the Bakken or just oil and gas direct exposure of $75 million or so maybe $110 million with commitments. I think you also mentioned direct exposure to the Bakken of $16 million, can you talk through the ancillary exposure that you might have may be not necessarily right to the Bakken to industries providing services to the Bakken.
Ed Garding: I can, first off I will explain that, the $16 million that we mentioned is the piece of our indirect portfolio. So that would be automobile, loans that we've identified that are in Western North Dakota and again, so far we haven't seen any movement in regards to delinquencies there. Secondly, yes we have a lot of customers that provide services from trucking, to welding, to electrical over in that oil field and we feel pretty good about, where they're at from the standpoint of, they've been reasonably prudent and they've been profitable to the point where, they can withstand a slowdown.
Matthew Clark: Okay, great and then lastly, if I may just on deposits. Big surge here this quarter, sounds like some of that may have already left the bank, but just wanted to get a sense for how many relationships really drove that increase and what might still be at the bank?
Ed Garding: Kevin, would you take that one?
Kevin Riley: Sure. It was interesting because really the deposit growth was across our footprint and it wasn't really a surge of new accounts as much as just increasing balances in the accounts that we already had and some of that has dissipated and we really can't point to a single reason, why it all came in, it's kind of seasonal and it has dissipated a little bit already in the first quarter.
Matthew Clark: Okay, thanks guys.
Operator: The next question comes from Jeff Rulis, D.A. Davidson
Jeff Rulis: Thanks, good morning.
Ed Garding: Hi, Jeff.
Jeff Rulis: And Ed, thanks for the oil dialog, I thought that was very thorough. So very helpful.
Ed Garding: Thank you.
Jeff Rulis: Question on the, I guess trying to quantify again on the margin than I guess, you talked about loan yields and perhaps a benefit on the as you deploy that recent funding in lowering cash balances. I guess what is again the outlook on margin for 2015, if you could just clarify what you think the direction is there?
Ed Garding: Kevin, would you take that?
Kevin Riley: Sure. As we saw in, 2014 you know it did come down a little bit as compared to 2015. I think you're going to see, if we stay in this zero rate environment, we could see some of the margin continuing to move down a basis point or two, a quarter. We believe that, the increase in the actual balance sheet growth will more than offset margin erosion. So we will have some margin, but we believe that the growth will more than offset that, so net interest income we believe, going into 2015 will continue to increase. You know part of that margin erosion a little bit, if you look at it was kind of a loan mix change, some of the things it was mentioned early, the mix from higher growth in direct loans and some mortgages, versus some of that like the Ag loans being paid down. So some of that might stable out in the short run.
Jeff Rulis: Okay, thanks and maybe one for Ed on, just on capital usage. You sort of outlined the strategy of where you would prioritize capital use and I guess with the repurchase announcement and dividends, I guess does that shed any light on M&A opportunities as in that's any lighter than it has been, maybe you could talk about kind of the dialog you're having on M&A and the opportunity in 2015?
Ed Garding: First, I'd say that we don't have any one silver bullet so to speak for capital. We are trying to approach it in a variety of ways, as you mentioned with the dividend, some amount of stock repurchase and of course, what we would look at the right fit for an acquisition probably not go out and do something huge and so a little bit of everything.
Jeff Rulis: Okay and just that particular on M&A side, those are discussions that are ongoing, it's not increased or decreased.
Ed Garding: No, I'd say it's been fairly steady and it's, as you know how the industry is gone. We do have a lot of visits with what I would call very small community banks that are expressing an interest to sell, retire so on and we continue to have those talks, but we'll probably pick our locations and targets pretty carefully.
Jeff Rulis: Okay, thanks. That's it from me.
Ed Garding: That's Jeff.
Operator: Our next question comes from Matt Ferguson at Sandler O'Neill.
Matthew Ferguson: Hi, good morning, everybody.
Ed Garding: Good morning, Matthew.
Matthew Ferguson: Just a quick clarification here. Kevin, when you said that the margin may decline at 1 basis point or 2 basis point, is that off of the 338 level?
Kevin Riley: No, that's off of the normalized margin that we articulated with regards to adding back to 10 basis points and we are going to have some interest recovery, we stripped out interest recoveries and we stripped out the aspect of some advance amortization on loans that were prepaid regards to Mountain West acquisition. So you'd always going to some of that every quarter and so if you kind of look at all those things put in place, margin came down kind of four basis points once you start to normalize and some of that stuff, but we try to strip it out to a core margin absent of any of that stuff. So you kind of add back some of that, when you look at it. So it's going to be a far greater than the 338.
Matthew Ferguson: You mentioned in the release that you're booking some more residential product. Can you talk to us a bit about your interest rate sensitivity position and how much room you have to extend duration in a loan portfolio?
Kevin Riley: We will get our interest sensitivity very, I guess - and that's why, you can see our investment portfolio has a very short life as well as we keep, normally we target about $500 million overnight and funds that can float, so we try to monitor the asset sensitivity, when looking at what fixed rate loans are going on the books. So we try to offset any kind of duration risk on the loan side of house by keeping our investments and our other funds short. So that's kind of how we balance it out.
Ed Garding: I would, pardon Matt I would add to that, but you probably noticed that the yield on our investment portfolios is below peer and that's by design. We use that investment portfolio as a hedge for changes and we recognized that liquidity is not free, but we want to have nice cushion of liquidity.
Matthew Ferguson: Okay, I know we may need to wait for caper [ph] this, but Kevin would you happen to have your, either your one year static GAAP or your NII sensitivity phase to a 100 basis points incremental moving the curve.
Kevin Riley: You only see that in [indiscernible] I have it, it's very minimal, right now it all depends on your modelling with regards to the beta used on your depository pricing, which we are very aggressive on our beta, but right now our GAAP 100 base points, 200 base points, I think it's little over 1%, 100 basis points a little over 2% net interest income over 200 basis points. So it's we're pretty much, I'd say neutral, but you also got to look how aggressive we are, when we look at our deposit pricing. We believe, a little bit different to other institutions out there, that one deposits on a sticky's [ph] that everybody thinks they're and two that rates will need to be raised on your deposits quite quickly or your deposits are going to find another place to put their money. I think you're going to get competition from the larger institution, which have liquidity needs, so they're going to price out. So I think they're just going to be some good competition on deposit pricing, when rate start to rise, so that's why we are really being prepared to increase our deposit rates, when that time comes.
Matthew Ferguson: Okay and then lastly, could you give us, if you had there that the dollar balance of your pipeline and just remind us, how to compare to the 930 level?
Ed Garding: You're talking about the loan pipeline?
Matthew Ferguson: Yes, I am.
Ed Garding: Bob, would you address that?
Bob Cerkovnik: We feel it's still pretty strong going forward, I can't give you exact number about where we're going, but we feel with our economies that are surrounding us right now, that we feel our own pipeline is doing well, as I said we expect a loan growth to continue as Kevin articulated early in the conversation.
Matthew Ferguson: Thank you.
Operator: The next question comes from Jared Shaw, Wells Fargo Securities.
Jared Shaw: Hi, good morning.
Ed Garding: Good morning, Jared.
Jared Shaw: Can you just going back to the excess cash and the, how long do you think it will take to really reinvest that cash and get that deployed, where that sounded more of a normalized level?
Kevin Riley: Well, you know just as we mentioned in the notes, Jared that cash is kind of came back down. I think we averaged close to $900 million in overnight on average for the fourth quarter. We're down back into $500 million range, so a lot of that some of that excess is already left.
Jared Shaw: Okay.
Kevin Riley: So it's already gone.
Jared Shaw: Okay, when you look at the growth and the construction portfolio, can you break that out by land, residential and commercial for us where the emphasis was?
Kevin Riley: Let me answer that, Ed?
Ed Garding: Yes.
Kevin Riley: Okay, part of that Jared was just a reclass of loans that we acquired from Mountain West, it wasn't a growth really in the sense it was, that way they accounted for versus, since we consolidated for the third quarter after we did the system aversion, those kind of just reset out of commercial real estate into construction. So it's not just a bunch of new construction lending.
Jared Shaw: Okay, that's helpful. Thanks and then as you look at the indirect portfolio. How does the recent production loan to values, in fact it was held up compared to historic, the rest of the portfolio and have you changed any of the reserve ratio on indirect auto, in light of serve, the oil prices.
Ed Garding: Bob, do you want to take that?
Bob Cerkovnik: Yes, Jared this is Bob. As far as the portfolio holding up on rate and quality, is been very good. We historically, we are very, very conservative underwriting in that area manager of that area has done an outstanding job even when markets have gone down and past history, we've led to the storm very well and have exceeded peer and as far as our quality. When you talk about the reserves on the other question? We haven't adjusted anything in our reserve. We feel, we have more than adequate reserves for that area.
Jared Shaw: Okay, great. Thank you.
Bob Cerkovnik: Like I said, our historical charge offs numbers in that portfolio have been very good, even in an great recession.
Ed Garding: Well and I would add in 2014, we actually had a net recovery versus net charge-offs in the indirect portfolio.
Operator: [Operator Instructions] and our next question comes from Jacquelynne Chimera at KBW.
Jacquelynne Chimera: Hi, good morning, guys.
Ed Garding: Hi, Jacque.
Jacquelynne Chimera: Trust, that were sold in the quarter for Mountain West was there any corresponding gain or loss associated with that?
Kevin Riley: What was the question, I missed the question Jacque?
Jacquelynne Chimera: The Mountain West Trust that were sold in the quarter was there any gain or loss that you booked on that?
Kevin Riley: We did not sell trust, we redeem trust, we paid them off. They were trust that required and we just paid them off and there was no gainer or loss on sale.
Jacquelynne Chimera: Okay and then most of the cost savings I know that, on the last call you've indicated that the conversion was going to be on October 18, is it fair to say that most of the cost savings were realized by the end of October?
Kevin Riley: Yes.
Jacquelynne Chimera: And looking to the, I know the compensation line had some seasonal malice [ph] in it, just in terms of the incentive bonuses, accruals, things like that. How much of that, do you think will repeat in the first quarter or was it, I'll just fourth quarter true up items?
Kevin Riley: They were fourth quarter true up items.
Jacquelynne Chimera: Okay.
Kevin Riley: And again with the healthcare cost, if you read our second quarter earnings release. We also reduced our healthcare cost by $500,000 in the second quarter. So we true that up, more than just annually so it's periodically we look at our healthcare expense and true up that cost.
Jacquelynne Chimera: Okay, so it's fair to say then the compensation would go up next quarter and return to a more normalized level?
Kevin Riley: Yes, correct.
Jacquelynne Chimera: Okay and then just lastly, given the decline in production that you saw in the quarter, was any of that weather related? I'm sorry in mortgage banking.
Kevin Riley: In mortgage banking. I would not say it's really weather related, I think it was just slowdown because of the season more than kind of weather related. We are not having storms like the east coast is having right now. The weather is been pretty decent in Montana this year as compared to last year.
Jacquelynne Chimera: Okay and it's not expected obviously weather changes, but is that expected to continue over the next couple of months or do you think, you're in for some of the big storms you had last year.
Kevin Riley: I don't know, read the Farmer's Almanac, it says, it's supposed to be a bad year, but I don't know how the weather is going to change, but it's been actually pretty good this year.
Jacquelynne Chimera: Okay and was it a quarterly, just a quarter's decision based on the volume that came in or are you more changing your strategy to put more of what you're booking through mortgage banking into the portfolio.
Kevin Riley: What we put in the portfolio is again being sensitive over the assets, sensitivity institution most of the stuff that's been booked in mortgage portfolio are arms. We have five, seven, 10-year arms and some 15-year arms, but we try to have more [indiscernible] going there and then some other jumbo loans that we can't sell in the secondary market. So that's kind of what we put in there. Most of the traditional production is sold to secondary market.
Jacquelynne Chimera: So is it just higher volume of those type of loans, send 4Q then. I asked because the press release indicated that, part of the decline was due to adding more to the portfolio than usual.
Kevin Riley: Well I mean we had more, but I think it's not that we decided, it was more the like the products more than the decisions kinds of decisions not to sell mortg to the [indiscernible] more or less to people who are buying the products, who are buying those types of products right now.
Jacquelynne Chimera: Okay, yes that's what I was looking for.
Ed Garding: You know I would add, Jacque I would add to that, when we make a mortgage loan and sell to the secondary market, the fee income of course is much greater than, if we make a mortgage loan and hold, so that did have an effect on that fee income and I don't want to you to be frightened about what we're holding on. In many cases, what happening and what does happen in our region, is that we have appraisal issues that don't match up with the secondary market, meaning that the secondary market likes to comparable appraisals say within a mile and a half of the subject property and a lot of times we are lending to someone who has a home on acreage or something like that and out here, a mile and a half just isn't very far and so it doesn't mean that there is a problem with a borrower or the qualifications to the borrower and we feel good about the value, the home in spite of the remoteness so to speak. Out here if you live within 150 miles, we call you a neighbour and so we think that, the ones that we do book are pretty good loans and as Kevin said, the lion share of them are adjustable rate, so that we are not taking rate risk.
Jacquelynne Chimera: Okay, great. Thanks for the additional colour. That's really helpful and that was all I had.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back to Ed Garding for closing remarks.
Ed Garding: Thank you, as always we welcome calls and even visits from investors and analysts. I would mention another thing about that oil price just that we did mention that, if it stays down the offset to that would be that we would expect it to help tourism because of the price of gassing up your car and last year, we actually had record visits in both Yellowstone and Glacier and I think near record over in the Mount Rushmore and Black Hills area. And so, we're pretty optimistic about that business holding up and in regards to our loan portfolio, when that oil field was really going and blowing. We were showing things like 2.5% and 3% loan growth during those years. Meaning that, we weren't riding that wave by lending into that area and so, consequently we won't ride the wave down real hard either and I would finish by saying, the weather is been very nice for the last couple of weeks, they're predicting snow storms over the weekend. So it would be a great time for you to come out and [indiscernible] visit to us with a ski trip. So thank you and goodbye.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.